Operator: Good day everyone and welcome to the Paycom Software Third Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that today’s event is being recorded. I would now like to turn the conference over to Mr. Craig Boelte, Chief Financial Officer. Please go ahead, sir.
Craig Boelte: Thank you and good afternoon. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts including those regarding our future plans, objectives and expected performance are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements we have made are reasonable, actual results could differ materially because the statements are based on our current expectations and are subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the Securities and Exchange Commission including our Annual Report on Form 10-K for the year ended December 31, 2016. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statement speak only as of the date on which it was made and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements whether as a result of new information, future events or otherwise except as required by applicable law. Also during the course of today’s call, we will refer to certain non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today, which is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom’s President and Chief Executive Officer.
Chad Richison: Thanks Craig and thank you to everyone joining our call to review our third quarter 2017 results. As with the prior calls, I will start with a brief review of our results and then provide some comments on the payroll and human capital management or HCM market and recent developments. Craig will speak to our financials and guidance, and then we’ll open up the line for Q&A. Our third quarter results were solid with revenue coming in at $101.3 million representing growth of 31% over the comparable prior year period. Our commitment to client success continues to fuel our progress at Paycom. This drive combined with our powerful single-database solution allows us to attract new clients as our reputation for providing the best option for business continues to grow. Our success was recognized in September when we placed second on the Fortune Magazine’s 100 fastest-growing companies list of publicly traded companies for 2017. Each companies ranked on the list was determined based on three areas of performance over a three year period; average revenue growth, average increase in earnings per share and total stock return. We believe this recognition underscores the fact that Paycom is one of a very small number of public companies that is achieving not just the role of 40 but the role of 60. When you look at the combination of our revenue growth and adjusted EBITDA margin, we are very proud of this achievement. Our profitable business model continues to allow us to return value to our shareholders. We recently completed our second $50 million stock repurchase plan. And today I’m pleased to announce that our board has reloaded and increased our plan to allow us to repurchase an additional $75 million of common stock. We are able to achieve these results by remaining focused on providing the best possible user experience. With this goal in mind, we continue to enhance our value proposition in October by creating our own content and releasing 10 learning courses to clients who have our Learning Management System or LMS module. These courses were designed and built internally at Paycom and the feedback we have received from clients regarding our proprietary content has been tremendous. These courses are built into our LMS module enabling employers to educate their managers and employees quickly, easily and consistently on topics like workplace violence, preventing discrimination and harassment, workplace ethics, hiring practices, lawful separations and more. We look forward to delivering even more content to our LMS clients and believe offering these courses will help drive further adoption of this module. Additionally, with Paycom’s November release, our mileage tracker capability will now be available in our native mobile app. This significant upgrade to our expense management module allows our clients’ employees to easily calculate mileage reimbursement for work related activities. That then automatically populate Paycom’s expense management module. Employers can now track mileage more accurately, which will help them eliminate profit leaks within their organization. For instance, without this functionality an employee might travel 22.1 miles, but actually fill out an expense report reflecting 25 miles. With mileage trackers specific miles are tracked accurately. On a trip of one current employee where 2.9 miles were rounded up, the Company will now save over a $1.50 on that one trip for just that one employee. This is based on the federal reimbursement rate of $0.535 per mile. As this is extrapolated out to include all reimbursable travel mileage for employees, the savings can be into the tens if not hundreds of thousands of dollars for any one company. On the marketing side, I’m pleased to highlight that toward the end of the third quarter we launched our first national television advertising campaign within accompanying digital strategy. The ad supports our overall value proposition of using one system with a very simple tagline. Paycom does more. We have been monitoring several indicators of brand awareness growth to evaluate to success of this campaign and are pleased with the early returns we are seeing. You can view the ad at our website paycom.com. I want to make a brief mention of hurricanes Harvey and Irma. We have a significant presence in the affected areas with two offices in Florida and five in Texas. We evacuated both our Florida offices and even asked our personnel to evacuate the state during the storm. Our offices in Texas experienced disruption as well with two complete evacuations in Houston and Austin. We had all of our offices back up and running as quickly as possible. And I want to thank people on the ground in those areas as well as our teams in Oklahoma City for making sure the impact was as minimal as possible both for our employees and for our clients. As of today, all of the Paycom sales offices are fully operational. Our final point to be understood is that while we experience some disruption to our prospecting and conversion efforts in the affected areas at no time where any clients payrolls impacted by these events. This wasn't our first hurricane experience and that was evident in our preparations before and service during these events. Before I turn the call over to Craig for an update on our financials and our guidance, I’d like to take a moment to thank William Kerber, our long time CIO for his many years of service and invaluable contributions to helping Paycom grow and to the success it is today. I have known William for many years and we continue our friendship even as this chapter working together is closed. Regarding our software development and IT efforts, we have a very solid team with the deep bench in place that will continue to ensure that we remain on the cutting edge of HCM and are able to provide the best solution to our clients and perspective clients. Now, I’ll let Craig comment on our financial performance for the quarter. Craig?
Craig Boelte: Thanks, Chad. Before I review our third quarter results and also our outlook for the fourth quarter and full year 2017, I would like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. We use adjusted EBITDA and non-GAAP net income as supplemental measures to review and assess our performance and for planning purposes. Adjusted EBITDA is a non-GAAP financial measure that excludes non-cash stock-based compensation expense. Non-GAAP net income is a non-GAAP financial measure that also reflects adjustment for non-cash stock-based compensation expense, which is further adjusted for the effective income taxes. Reconciliations of the GAAP to non-GAAP measures discussed today are included in the earnings press release issued earlier this afternoon. As Chad mentioned, we had good results in the third quarter with total revenues of 101.3 million, representing year-over-year growth of 31% from the comparable prior year period. Our revenue growth continues to be primarily driven by new business wins, and we are pleased with our continued performance over the comparable growth we saw in 2016. Within total revenues, recurring revenue was 99.5 million for the third quarter of 2017, representing 98% of total revenues for the quarter and growing 31% from the comparable prior year period. Total adjusted gross profit for the third quarter was 85 million, representing an adjusted gross margin of 84%. For the full year 2017, we anticipate that our adjusted gross margin will be within a range of 83% to 84%. Total adjusted administrative expenses were 59.3 million for the quarter as compared to 49.1 million in the third quarter of 2016. Adjusted sales and marketing expense for the third quarter of 2017 was 33.5 million. Adjusted R&D was 7.4 million in the third quarter of 2017 or 7.3% of total revenues. Although, we capitalized a higher percentage of total R&D costs this quarter, we anticipate going forward our capitalize R&D costs will be in line with our historical capitalization rate of approximately 29% to 32% that we may see fluctuations from quarter-to-quarter. Total adjusted R&D costs including the capitalize portion were 10.8 million in the third quarter of 2017, compared to 7.6 million in the prior year period. Adjusted EBITDA was 30.7 million or 30.3% of total revenues in the third quarter of 2017, compared to 18.2 million or 23.5% of total revenues in the third quarter of 2016. Our GAAP net income for the third quarter was $14.1 million or $0.24 per diluted share, based on approximately 59 million shares versus 6.2 million or $0.10 per diluted share based on approximately 59 million shares a year ago. Our effective income tax rate for the third quarter year-to-date 2017 was 8.3%. Non-GAAP net income for the third quarter of 2017 was $17 million or $0.29 per diluted share based on approximately 59 million shares versus $9 million or $0.15 per diluted share a year ago. We expect stock-based comp to be approximately $7 million in the fourth quarter of 2017. In the second quarter, we repurchased a total of approximately $17.3 million of stock under our $50 million share repurchase plan. As Chad mentioned, we are pleased to announce our $75 million repurchase plan and look forward to continuing to return cash to our stockholders opportunistically via open market purchases. For modeling purposes, we anticipate fully diluted shares outstanding will be approximately 59 million in the fourth quarter. Turning to the balance sheet, we ended the quarter with cash and cash equivalents of $66.6 million and total debt of $34.4 million. As a reminder, this debt represents a financing of construction at our corporate headquarters. Construction of our fourth building continues to go well and according to schedule. Cash from operations was $37.1 million for the third quarter, reflecting our strong revenue performance and the profitability of our business model. The average daily balance of funds held on behalf of clients was approximately $740 million in the third quarter of 2017. Now, let me turn to guidance for the fourth quarter and full year for fiscal 2017. For the fourth quarter of 2017, we expect total revenues in the range of $111.5 million to $113.5 million, representing a growth rate over the comparable prior year period of approximately 28% at the midpoint of the range. We expect adjusted EBITDA for the fourth quarter in the range of $26 million to $28 million, representing an adjusted EBITDA margin of approximately 24% at the midpoint of the range. For fiscal 2017, we are increasing our revenue guidance to a range of $430.5 million to $432.5 million or approximately 31% year-over-year growth at the midpoint of the range. We’re increasing our full year 2017 adjusted EBITDA guidance to a range of a $131 million to a $133 million, representing an adjusted EBITDA margin of approximately 31% at the midpoint of the range. With that, we will open the line for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first questioner today will be Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Just quick questions from me. Chad, the impact on the hurricane does that -- I mean I know it will disrupt some of the sales cycles. Could that impact some of the revenue as well as you see in Q3 Q4? Or is it just really like a week or two on the sales cycles that you are missing?
Chad Richison: It depends on the office. We had some offices that were inaccessible for a longer period of time. Other offices won't necessarily as inaccessible. We just had to get people back into the areas where there wasn't a lot of gasoline and different things. And so -- and then even had other places where potentially -- not potentially, but you actually had prospective clients that where in other areas where they weren't specifically in the path of the hurricane, but they had assets in those areas. The people we sell to and the people we work with on conversion are the same people that work on asset protection when you talk about employees and what have you. And so, there was some minor disruption I would say. This is nothing that from a Paycom perspective. I believe it’s just a period in time that it’s impacted us. And again specifically as it relates to certain prospecting efforts and some conversions as well, but if we didn't -- I can't say that we had deals that were set to start and they're not going to start. Many of them are coming in already. So it's just a situational depending upon the client in their own situation of impact in those areas.
Raimo Lenschow: And then Craig, you like on the beat on EBITDA this quarter a lot of that came from sales and marketing. Is there anything you can help us like look in as a devil's advocate, I would say like the new ARR sales force weak and hence there's no commission or lower commission payment, but maybe I'm kind of right or wrong there. Can you just help us understand what kind of drill that outside? Thank you.
Chad Richison: So, this is Chad. We definitely did have some deals that pushed in out of that quarter that were ready to start and they pushed out of that quarter. You have the Houston piece and then the Florida. So, I mean there's some of that there, and there's also if you think back, last year we opened up six offices and we not only that we opened them all up in the beginning of the year, and we talked about how it takes 14 months for reps to become executive reps and productive, and it takes 24 months for an office to become mature. So last year, we had six offices with twice or more because again as you're heading into the third quarter, you would have had additional reps hired in those offices. So, we were carrying more reps last year that weren't selling as much because they're newer. This year, we opened up three offices and we didn't open them up at the 1st of the year, we actually opened them up later. And so, they actually have less non-productive reps. You have a little bit of that and then you have a little bit of some of the hurricane. And the other thing is our sales and marketing just doesn't include sales commissions and sales salaries. You also have marketing in there and we gained some efficiencies also in that area.
Operator: And the next questioner will be Michael Nemeroff with Credit Suisse. Please go ahead.
Michael Nemeroff: I want to piggyback on the hurricane as first of all I hope all of your employees are safe. But Chad can you maybe quantify the impact on revenues and the bookings in Q3? And maybe what you're -- if there is an impact in Q4, what if we could quantify that? And are you still seeing any lasting impact on new bookings in the affected areas?
Craig Boelte: So, I'll take your last question first. I am sure there are still some prospects and clients they're dealing with the effects of the hurricane. And so, there would some of that now that a meaningful impact on us. As I say here today, I would not think so. And then, but when you're talking about, so that's for prospecting efforts as we sit here today. Now when you're talking about the week or week and half leading up to some of these and the time during and then getting people back into our office, and we evacuate an office, we evacuate the office, it’s not just people. There’s data, there’s paper, there’s file. I mean there’s a lot to that. And then, you got to get everybody back in those locations and hurricane is something that you do rather quickly. And so, the other answer to your question is the specific analysis of that, I think for myself I feel like those deals are good and they are going to start and we are seeing them start and many of them have. So I do see this is more of an impact from a certain point. Obviously, if you had a prospecting impact that can last a little bit longer for you into the subsequent amount a bit, I mean I believe that we're -- we’ve weathered this well. I don’t feel like this is going to have any impact on 2018 at all, and I think as the time goes on throughout this quarter, it’s going to have a less and less of an impact and…
Michael Nemeroff: That’s helpful, Chad. I mean asked another way. Do you think that your Q4 guidance on revenue was impacted by the hurricane?
Chad Richison: Well, like I said I mean, there is definitely -- if you start deals in -- if deals are scheduled to start in September and/or scheduled to start even in mid August or even in the beginning of August and you push those past first quarter. That’s going to impact first quarter because you could have potentially received a 100% of the revenue billing in fourth quarter. And you received -- and you might only receive two-thirds of the expectation there. But that’s baked in -- those thoughts of ours are baked in to our Q4 guidance right now.
Craig Boelte: And I think Chad said first quarter. I think he meant the first month…
Chad Richison: Not the first quarter I meant…
Craig Boelte: I meant the first month of the fourth quarter.
Chad Richison: That’s right.
Michael Nemeroff: Right, alright. Just one for Craig, if I many. I am just piggybacking on Raimo's question. Your prior long-term target operating model has adjusted EBITDA at 30% to 33% and your guide this year already implies at the lower end of this range. So how should we view the margin profile in the medium to long-term going forward? Thanks. That’s it.
Craig Boelte: Yes, I mean we increased our adjusted EBITDA long-term model to the 30% to 33%, I think middle of last year and we’re already starting to hit that moving forward. I think the one thing that will have some impact on that moving forward is going to be 606. We are still evaluating 606. And we don’t foresee a big impact on the revenue side, but we do foresee an impact on the adjusted EBITDA side on there. So, we’re really focused on being a high growth company. So not including 606 that’s -- the adjusted EBITDA is not something we’re necessarily super focused on. We are focused on the growth and we are going to spend accordingly and hope to have some margin expansion along the way.
Operator: And the next questioner will be going to be John DiFucci with Jefferies. Please go ahead.
John DiFucci: So I think you’ve hit the natural disaster stuffs pretty well. But I guess one of the things we noticed in our model here, Chad and Craig, is that you’ve shown significant sales and marketing leverage not only this year but in last year too. And you mentioned the national TV ad campaign. I guess should we start to see that not show as much leverage going forward? Or should we continue to see some of that?
Chad Richison: Yes, leverage on the sales marketing side. I mean our advertising campaign was at the very -- I don't even know, much of that it was even in started. We have to look at that. But it was we launched toward the very end of third quarter. And I think if you look at us at quarter-to-quarter, it really just kind of depends on how many nonproductive -- it kind of ebbs and flows. And it depends on how many nonproductive reps we’re carrying. It depends on whether or not a newer rep sold a deal when which they get half the commission of an executive rep, there’s many factors that can go into any quarter. And that’s just on the commission salary side for sales people. You know we also had -- we promoted more regional managers last than we did this year. I mean there’s other factors that factor into that and then also you have the marketing expense, people made mention that we wanted HR tech this year, if you get HR tech, that’s pretty expensive. I mean it costs us I think $80,000 just to ship our -- the ship and set up our -- much less everything else. And so we’ve gained expenses in the sales and marketing in other areas. Is that going to continue? I mean, there’s going to be months where, it’s not specifically that way depending upon when deal start and work with somebody’s commission rates are on that. Craig, I don’t know if you add anything on that.
Craig Boelte: No, I would agree with that. I mean, on the marketing side, there are certain events that we've attained one year and maybe not the next. So when -- we’re probably not going to see in terms of like HR tech and those type of things. Those aren’t going to increase to same level as our revenue rate. So you would know from quarter to quarter see some ups and downs in those.
Operator: And our next questioner will be Mark Murphy with JP Morgan. Please go ahead.
Mark Murphy: Yes, thank you very much. And I’ll add my congrats on the results. Chad, so I wanted to ask you did anything in the Ackman slide deck regarding ADP standout to you, anything in there that you think further illustrates the industry backdrop? And just whether you think there assessment of the landscape and the technology in there is accurate or not?
Chad Richison: Yes, I mean I don’t really think it's fair for me to comment on that situation. I do think that there’s a lot of information out there. I think a lot of the information that was pulled was information that was already out there and well known. And so, we don’t really have a dog in that hunt. So, I'll let ADP enactment comment on that.
Mark Murphy: Okay. So over the summer you conducted a survey based on our professionals, and I think you published some of those results. It kind of touched self-service trends like single log-in and data entry and so on and so forth. What do you think we should take away from the findings? Was there anything in there that surprised you?
Chad Richison: Well, I think it’s what surprises me. And I know that it surprised me, but it was very confirming and that is that people are still using businesses. They’re still using HCM in all the way. I mean there’s new technology available. There’s new devices available, a perfect example of that is our mileage tracker. I mentioned that it’s in our app. You push start, it tracks. It’ll even tell you the best way to get to a location. It tracks the specific drive you take. And again that’s recorded right back into the system. And it becomes part of the expense management or if your rep who are some in the travels and he don’t receive direct reimbursement for the Company, but it’s something that you track for tax purposes. It does that as well. And so that’s something that wouldn’t have been available in the past and today it is. And that’s something that employees have access to, and we expect that to drive adoption and usage of our -- not just employees self-service that specifically that expense management module. And the same goes for LMS training. And so, I think that remain is what I notice most about it, it’s confirming there still a huge opportunity to shift the way business is used HCM products and specifically their employees.
Mark Murphy: Okay. The next one I wanted to touch on the course content. I think you mentioned you launched 10 courses. Can you just help us understand at a high level? Why did you decides to begin developing content and how material do you think that revenue steam could become for Paycom?
Chad Richison: Well, this first group, the first step piece of content is included within our LMS module. And so if there is client using LMS today, they just receive 10 courses of value in their content which we do believe is going to increase usage and drive additional adoption of that. Training is not something new. People have been training people since the stone tablets. And so training is not anything that’s new. But again that’s another area where maybe people in the enterprise level have started training people this way. And now it’s making, its way to the mid-market. And so, there is also a piece we have to train people on how to train and go through that process. And so, we created the distribution module of LMS that allows us to update LMS courses. And then, it’s not just the courses that they’re taking, it’s also we measure retention of the information that the training that they enter. So for us, I do believe that something that can be learning management is a very important thing for any organization. We are a very large user of our own system and I think were thousands of courses in our own system that we used internally here at Paycom to manage our own business. And so I see that’s been a future catalyst for LMS for sure. And potential revenue driver, it will be in the future a revenue driver as we release more courses.
Operator: And the next questioner will be Brad Reback with Stifel. Please go ahead.
Brad Reback: Chad, as you sort of think about the expansion here on learning, beyond that, what type of growth do you think you can see in per employee, per month, pricing a couple of years from now on your percent basis?
Chad Richison: That’s hard, it’s all about the value just because we come up with something it doesn’t necessarily mean that it drives value for the client. For us, it’s about the value and the ROI that we’re driving for the client to be extent at least paying as a dollar. They need have an ROI of $2 plus. And so, and that’s really the way we approach pricing of the products that we put out. We do have monthly releases. Here at Paycom, we're always updating the system. And 99% of that, we’re not charging for. It's enhancements to our current system and sometimes we do. And that’s just hard to forecast from here when we’re talking to company years out.
Operator: And the next questioner will be David Hynes with Canaccord. Please go ahead.
David Hynes: I want to behold most questions on the LMS. Now that you guys have invested in the content, do you feel like you’re going to put a more concerned effort to go back into the base with that product? Or is just really about improving a catch on new deals?
Chad Richison: Well, for instance the 10 content courses we created, we created a library launching and 100% of every one of our LMS clients today now has those 10 courses in their LMS platform. And so that’s already there today. Yes, it will allow us to go back in the clients and talk about how they use those courses and gain value. We have to have a focus group as we went during created these products. And we are very deliberate with this as we moved Stacy into our, that role of our Chief Learning Officer earlier this year to really go through that. And we just think that that’s going to impact not just client training but also how they learn on our system and increase use of time as well.
David Hynes: So, it sounds like a little of both. And I want to ask about stock-based comp as it pertains like it's a quality of earnings. I think you guys came in double where you had guided us it’s a second quarter in a row what's ticked up. Just curious, if there is any change in philosophy there, if there is -- anything onetime in nature of we should be aware of? How are you thinking about that line as we build our model forward?
Chad Richison: In terms of stock-based comp, what we saw in this quarter was we have certain market shares out there. And two of those hit the triggers on those and so we had some of that as well as in the second quarter. All of those have hit their triggers now and so moving forward to be some more those issued next year. We don’t really guide on stock comp we did give some information that we expect fourth quarter to be in that $7 million range.
David Hynes: Chad, try to give any thoughts about '18 high level framework for thinking about growth versus profits and the trade off there?
Chad Richison: Well, I mean in the perfect world, there is not as much trade off on that. You can somewhat capture both and that’s I think we have proven that as we continued to grow. As far as 2018 there is so much that we are doing right now, and we are going to know so much more as we turn the corner on that. So as with the years in the past we will update that with our fourth quarter announcement.
Operator: And the next questioner will come from Mark Marcon with Baird. Please go ahead.
Mark Marcon: I was wondering if you could just come back to some of the earlier questions. If we take a look at the Florida and Texas, what percentage of your revenue base is that? And how different are the commission runs that there or the new sales that they are seeing in those offices relative to areas that would be completely unaffected whether it's out in the Northeast or West Coast et cetera?
Chad Richison: Well, I think we have 36 mature offices, we have 45, we have nine still in the maturing phase. We have 36 matured offices, this impacted four of those. It's hard to -- business doesn’t all come in -- I guess it doesn’t all flow, you can have a good month and the next month, it's not as well I'm talking about for anyone office that’s maximize one month and then the next month they are doing more prospecting what have you. And so that’s really hard to say, but these all our successful office of course they have been matured offices and a couple of have been finished consistently up in the top, one on specifically is always at the top in that area. So like I said before I think it's hard to quantify specifically all the areas of either missed opportunity or deals that might still be in conversion as well, but we had a plan for all of them, we feel really good about what's going on. Many of them are already converted and so it's just hard to quantify specifically and so. Go ahead sorry.
Mark Marcon: No, no, no, you go ahead.
Chad Richison: I was just going to say, it's not nothing. I mean there is an impact there. And again we're dealing with our own employee base too. We had our own employees that experienced loss during this as well and so there's kind of a time for everything and right now we've called the time to get back out there and be prospecting and get those businesses set up and I'm really happy with the people of how they handle this and I mean I feel really good and like I said before any disruption we would have expected happened to us in Q4, is provided within that guidance that we've given and we do not expect this to have any impact on our 2018.
Mark Marcon: Great. And then just a follow-up. You obviously have you know a ton of different feelers out there in terms of the real economy, it seems like economic activity is picking up. How would you characterize in areas that are completely unaffected just kind of the level of you know buyer enthusiasm, the pipeline etc how would you characterize that.
Mark Marcon: I would say it's been business as usual I can't point to anything that's changed there I mean it’s been good, but we're a business that you know in a down market we look to drive efficiencies for our client and therefore we're a good fit for them and you know that doesn’t really change when things are going well and so for us we have to be strong regardless of what's happening and again we still represent such a small portion of our overall opportunity there's still plenty out there.
Mark Marcon: Great, and the new offices that are just opened. How are those progressing?
Mark Marcon: They're progressing according to plan, and as a reminder that takes 24 months for a new office to become mature and so -- but they are progressing.
Operator: And our next questioner will be Corey Greendale with First Analysis. Please go ahead.
Corey Greendale: Hi, good afternoon congratulations on the quarter. So also returning to a topic from earlier when talking about maybe the reasons for the beat, you mentioned a couple of things but the hurricanes going to affect the commissions. I'm not sure I got a full sense of you know beating EBITDA is not unusual, but it’s a larger beat than usual. Can you just talk a little bit more about what drove the outperformance relative to your expectation?
Chad Richison: Yes, I mean I think if you look at the overall beat, it came in a couple early. I think we probably talked about the sales and marketing. And R&D one of the things I pointed out was we capitalized at a little higher rate this quarter than what we had been seeing. That probably drove 80 basis points in the R&D from where it would have been, had we capitalized at a more normal rate. And we expect that to come back to more normal rates for our fourth quarter. In our G&A, we saw some efficiency there as well as in the gross margin and I think on the gross margin we were probably it was more of a headcount. We didn't have -- we didn't hire quite as many people as what we had expected for the quarter, but we're continuing to staff up and looking good going into fourth quarter on that.
Corey Greendale: And you've been investing more in R&D whether it’s expensed or capitalized. Are you happy with this, if you look at this run rate as a percent of revenue? Or do you expect that to still increase over time?
Chad Richison: Well, I mean what we're happy about the output that's coming out of R&D and to the extent we need to spend more as a percent of revenue to get the specific output we’re looking for. We’re going to do that. I think I’ve said it before. We’re at where we’re at as a percent of R&D. We’ve continued to spend. We continue to increase that. I don’t see us rivaling our competitors in that area of R&D spent. But I believe that we are doing a great job on the output side and that has to do with our process and the way we work.
Corey Greendale: Great. And then just one last quick one. And I am taking this for the answer to another question, so maybe I am taking this too much out of context. But in answer to another question, I think maybe Craig said that the focus is on growth over margin. So as you think about that where are the places where you could spend more to kind of increase growth? What would you think about accelerating new office openings or -- and [aired] in the TV spend? Or how should we think about those opportunities?
Craig Boelte: Yes, I mean the best way to increase growth for us is productivity. And then obviously in order to best leverage of productivity gains that you have within the sales force. You definitely want to continue to open up offices because that comes your future productivity model, so I would see us focusing on both of those.
Operator: And our next questioner will be Ross MacMillan with RBC. Please go ahead.
Ross MacMillan: Chad, you did a great job in highlighting the number of offices impacted and maybe the backdrop of the productive offices. I was just curious. Could you just -- is it right to think of this impact in terms of time being last two months of Q3 and maybe the first month of Q4 in terms of go-live -- that selling motion and then the go-live? So it’s like a three month period weighted towards Q3. Is that a fair reflection of the situation from the hurricane?
Chad Richison: Yes, I mean definitely that’s and I don’t want to talk about any one client that might still be out there suffering that we can’t necessarily do a lot about based on their situation it might be waiting longer. But yes, I mean I wouldn’t expect this to have much longer of a run than that. That’s not the same, if we wouldn’t have a few outliers with that that but I feel really good. We do -- we measure pushes every week. So I know when you deal pushes. And during this time I mean we had weeks of $900,000 in annualized pushes which is just unheard about our company. And so then the question is okay, when are those coming back? Well, some of them are already coming back. And we didn’t lose them again. There were other focuses -- other points of focus for them as it relates their own assets in those areas. And so we did have pushes and -- but again I just want to stress this that any disruption we felt like there would be and fourth quarter is already baked into our guidance and we do not feel like this would any impact for 2018.
Ross MacMillan: That’s very clear. So that 900,000 probably come down but it’s not quite at a normalized level yet?
Chad Richison: That was just a one week. Yes, that’s an annualized number. So that’s an annualized number, that’s 900,000 annualized.
Ross MacMillan: I understand. Yes. And then just one for Craig. Just you mentioned 606 and I am just thinking this through -- I don’t believe you capitalized commissions and you generally recognize within the first month of deal start. Is the way to think about this is that your EBIT to get a benefit, but then there’s going to be a tail of amortization. So it might be short time -- short term beneficial for EBITDA? Or might not thinking about that the right way as there are some other pushes and pulls on EBITDA under 606?
Chad Richison: No. I mean, I think you’re kind of thinking about that right, but you know we’re recognizing that over the lack of a client, which is 10 years. You know as we’ve grown throughout the years you know those top of expenses and it’s not just commissioned, it’s also some salaries related to that. Those are continued to grow. So the amortization on that, you know on some of those earlier years is pretty small. So -- but, yes, we should see a benefit under 606 in that. You are right.
Ross MacMillan: Yes. And then that’s helpful. And then just on that I know you don’t talk about office openings, but just on the productivity commentary. I just wondered you know is there a trigger point when you look at the productivity across the productive offices, and you say okay, now is the time to move forward with the new opening or maybe just any commentary about kind of where you are on that productivity curve? And when you get to a threshold where you want to start to maybe press on more openings that would be helpful?
Chad Richison: Yes, I mean it’s important for us to be opening up offices throughout 2018. I think that we took a more staggered approach this year to develop those sales people who are ready to be in management. They know who they are and we’ve been working with that group, many of them, you know, better part of seven or eight months and so. As we trying to corner on the beginning of the year, we’ll assessing that and making those decisions. But I mean in 2018, we’ll be opening up offices.
Operator: And the next questioner will be Brent Bracelin with KeyBanc. Please go ahead.
Brent Bracelin: Thanks for taking the question. Chad, I'll actually follow-up on our last question. And this is just from a high level perspective as you think about new offices, the mature offices. I think 80% of the offices are mature now. You have another six that looking like they’ll turn that 24 month maturity in Q1 of next year. So many no additional offices that puts you at north of 90% of the offices that are kind of mature. How do you think about that balance, mature versus new? What’s the right kind of balance as you think about kind of that mature versus new equation?
Chad Richison: Yes. I mean I would like to sit here and say that our -- that it’s very scientific, but I’ll just be flat out straight as if we have the people ready to do it. We’re doing it. And we did find that there were some areas we could get better that development of people who are ready and identifying the right people. And that’s something that we very much improved on and have become stronger at. And so, this is a people development. The market is right. There’s plenty of opportunity out there for us. We are gaining the productivity gains. If I was waiting for that, it’s something that I would say okay, well, let’s do more. And so this is really about people being ready to be able to backfill relocating managers.
Brent Bracelin: Got it. And as you think about the target cities opportunity out there. Is there still some low hanging fruit and opportunities you like to pursue sooner than later and the people that is kind of slowing things down a little bit, but walk us through the opportunity for new city expansion?
Chad Richison: I mean when it comes to any specific territory that we’ve identified for opening, I am somewhat agnostic on which one. To some extent that depends on the relocating manager. I think I’d said it before. We would necessarily take an Oklahoma City manager and relocate into Manhattan. You want to make sure you have a culture fit with the people that you are putting in an area and on our Manhattan people are doing quite well. And so, you have to look at that as well across the board.
Operator: And our next questioner will be Siti Panigrahi with Wells Fargo Securities. Please go ahead.
Siti Panigrahi: I think a lot of the questions that I was going to ask have been answered. But could you kind of this talk about, if you see any changes in the competitive landscape specifically from ADP or any other competitors?
Chad Richison: I mean it’s been somewhat businesses usual for us. I mean I can’t say it’s harder to get business for sure. But it’s been business as user for us. I think, I’ve said it before. We’re very focused on our own value proposition and what we do and we’re really stayed in our own lane on that. So yes, I can’t speak to any. And I’d say that, I don’t know if any new entrants that have made an impact. For us, it’s been the usual suspects.
Operator: And our next questioner today will be Abhey Lamba with Mizuho Securities. Please go ahead.
Abhey Lamba: Chad, you talk about the leverage from sales and marketing that we saw. Can you just break it down how much of it was personal versus commission versus scale-back in some marketing spend?
Chad Richison: Well, that’s definitely -- I mean we haven’t done that in the past and we wouldn’t do that on this call.
Operator: And our next questioner will be Ryan MacDonald with Dougherty & Company. Please go ahead.
Ryan MacDonald: I guess, maybe starting on maybe what you talked about with the new national brand campaign. I mean, to the extent that maybe you're starting to see results and benefits from that. Can you talk about how you're thinking about brand awareness? And maybe how that might factor in your potential office expansions? When you’re looking at the data and trying to see certain regions or areas where you might not have much brand equity in that space, just try and look at that a new greenfield opportunity or perhaps scenarios where since you think you have some really great brand awareness, and that you want to even double down on that type of region?
Chad Richison: Yes, first, I would say that the ads are pretty new. And so I wouldn’t say that had impact on our -- well, they wouldn’t be having an impact on our numbers right now. But driving brand awareness also maybe those deals we pitch two years ago that didn’t go. You definitely want to be in one of them. And then also, if you watch our ads, we’re not necessarily just advertising the prospects we have the client base as well. In there's base case usage for how someone uses our product. I’ll make this last point. I didn’t know the iPhone, did merge costs until I saw commercial on it. And I use it for a couple of years. So I think it’s important for people to use our products the correct way as well.
Ryan MacDonald: And I guess just one quick follow-up. When you talk about learning management, I think it’s an area where we’ve seen that’s been penetrated sort of on the enterprise side of the business. But as you start to look in your target customer based and expanding there, I mean have you -- can you talk about what kind of penetration you’ve already seen, maybe in that markets for learning management? Is it something that you’re finding as new to your existing customer base?
Chad Richison: Well, we sell a single system and so, we don’t breakdown adoption for anyone modular. But like I said everyone in the mid market does training. There is not a client that doesn’t do training and learning. They just might be doing it using a different type of model which could even be manually in many cases. We are not bringing the tool. We are not just bringing the content we are also bringing the process through which someone can set up training specific to their business and then they already have the tool to be able to or get it out to all the employees and then be able to actually assess comprehension of the information that was presented and trained on. And ladies and gentlemen, this will conclude the question-and-answer-session. I would now like to turn the conference back over to Chad Richison for any closing remarks.
End of Q&A:
Chad Richison: I want to thank everyone for joining us on the call today. We appreciate your time and interest. We look forward to meeting with investors of the Credit Suisse TMT Conference on November 28, in Scottsdale; also the Wells Fargo Tech Summit in Park City on December 5; and the Barclays Global TMT Conference in San Francisco on December 6. I thank you and operator you may disconnect.
Operator: Thank you. The conference is now concluded. Thank you all for attending today's presentation. You may now disconnect.